Operator: Good morning. My name is Dan, and I will be your conference operator today. At this time, I would like to welcome everyone to the Eldorado Gold Corporation 2018 Q1 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Peter Lekish, Manager Investor Relations, you may begin your conference.
Peter Lekish: Thank you, operator, and thank you ladies and gentlemen for taking the time to dial into our Q1 2018 financial and operating results conference call. With me in Vancouver this morning are: George Burns, President and CEO; Fabiana Chubbs, CFO; Paul Skayman, COO; and Jason Cho, Executive VP Strategy and Corporate Development. We have changed up the format of this call this quarter and we will be speaking to slides that accompany this webcast. You can also find a copy of these slides on our website. I recommend downloading the copy as there are several pictures we will talk through that show the work we’ve been doing throughout the quarter. Before we begin, I would like to remind you that any projections included in our discussions today are likely to involve risks, which are detailed in our 2017 AIF and in the cautionary note on Slide 1. The news release that went out yesterday detailing our Q1 operating and financial results should be read in conjunction with our Q1 financial statements and management’s discussion and analysis, which are also available on our website and have been filed on SEDAR and EDGAR. Lastly, all dollar figures discussed today will be in U.S. dollars unless otherwise stated. I will now turn the call over to George.
George Burns: Thanks, Peter. And good morning, everyone. Flipping to Slide 2, I’ll start with a high-level overview of the quarter and some comments on our path forward. Then I’ll hand it over to Fabby to run through the financials. Paull will cover operations and development projects before Jason will talk a bit on capital considerations. I’ll wrap up with some comments on key milestones before taking questions. First off, we had a very successful first quarter in a number of fronts. Production was in line with expectations and we made good progress at Lamaque, Olympias, and Kisladag. I’m really pleased with the advancements our teams made on these key assets. Everyone is focused on delivering with the plan we have set for ourselves, which is to reestablish our annual production, low cost gold production of 600,000 ounces by 2021. On Slide 3, we’ve clearly laid out our core asset portfolio. This includes Lamaque and Kisladag Mill as core development assets and Olympias, Efemcukuru and Kisladag Leach Pad as core operating assets. On the right, you can see the path from today to 600,000 ounces annually. Skouries and our development projects offer additional long-term growth but will only be considered once we have a clear path forward with these investments. The next slide shows how we will execute our business plan. We will reach 600,000 ounces annually by: one, maintaining a strong base of operations; two, developing our well-defined, low-risk, high-return projects; and three, deploying capital prudently. Over to Greece on Slide 5. A significant hurdle was removed just after quarter end with a positive ruling by the arbitrational panel in Greece. On April 4, the arbitration panel rejected the Greek State’s motion that the technical study was deficient and in breach of perversions of the transfer contract. We were pleased with this outcome, as it reinforced what we have always said, which is we operate to high standards and in accordance with all applicable laws and regulations. We were also encouraged by the statement of the ministry of environment, we indicated they respected the panel’s ruling and outlined three criteria it would look to Eldorado to meet. These included: one, complying with European environmental standards; two, safeguarding the public interest and maximizing domestic value; and three, achieving the widest possible social consent. These are all standard examples of responsible mining practices, which is consistent with how we do business everywhere we operate. We continue to highlight our commitment to implementing best available technologies and operating to the highest safety and environmental standards in all our communications with the Greek Government. We demonstrated this commitment with our updated technical study that will reduce the Skouries project footprint by 40% and reduce project risk by implementing dry stack tailings disposal. The improved project design, combined with positive resolution of the arbitration panel have given us a renewed optimism that we will be able to define the clear path forward for our Greek investments. We are clear on our discussions with the government that we seek timely approval of the outstanding routine permits for Skouries and for the incorporation of dry stack tailings into the project. Skouries remains a compelling project, providing additional long-term growth, but requires collaborative government dialogue in a clear line of sight to cash flow in order for us to allocate further capital for development. I’ll leave it there for a moment and will hand it over to Fabby to go through the financials.
Fabiana Chubbs: Thank you, George. And good morning, everyone. On Slide 6, we have our Q1 financial results. During the quarter, we generated revenues of $132 million. $150 million was from gold sales of 86,587 ounces at an average realized price of $1,333 per ounce. A 15% increase in ounces sold year-over-year is a result of commercial production from our EPS and essential gold production from 2017 sold in the first quarter 2018. Net profit was $8.7 million or $0.01 per share in the first quarter of 2018 compared to a profit of $6.8 million on $0.01 per share in 2017. Excluding a $2.9 million loss on write-down of assets and $2.4 million of unrealized losses on foreign exchange circulation on deferred taxes, we reported adjusted net earnings of $14 million of $0.02 per share in Q1 2018 compared to $8 million or $0.01 per share in Q1 2017. Moving to our cash position. We ended the quarter with cash, cash equivalent on 10 deposits of $460 million compared to $485 million at the end of 2017. This was a net reduction of $25 million. During the quarter, we generated $37.9 million in cash flow from operations before change in the working capital, and $13 million in proceeds from pre-commercial production sales, where capital expenditure for the quarter totaled $67 million. On the Slide 7, we outlined our forecast for 2018. No change to our guidance of 180,000 – 190,000 to 330,000 ounces of gold at cash operating cost of $580 to $630 per ounce. As you can see from the chart, development capital is a focus of our budget for the year, with Lamaque getting the lion’s share. I will also highlight that the exploration of spending is mainly focused on brownfield opportunities near our assets. Over to you, Paul.
Paul Skayman: Thanks, Fabby. On Slide 8, we outlined production and costs for the quarter. Total production in Q1 was 89,374 ounces. This was a result of the Leach Pad at Kisladag performing better than expected after higher cyanide levels were added to the pad during third and fourth quarters of last year. As we’ve indicated, predicting gold extraction from a large pad is difficult, but it’s nice to be on the high side for a change. Efemcukuru production was in line with expectations. Olympias costs were higher than guidance due to pre-commercial inventory and plant bottlenecks, which have now been resolved. Over to Lamaque on Slide 9. We’re taking a new approach here and have provided detail on work completed during the quarter, upcoming milestones and potential project upsides. The big news at Lamaque, is we’ve received the mining lease during the quarter. We also completed the pre-feasibility study and declared a maiden reserve of nearly 900,000 ounces of Triangle. The picture shows work underway at the Sigma mill. Refurbishment is progressing well. We may expect to begin commissioning equipment in Q4 and advance to first production in early 2019. The big upside at Lamaque is the resource conversion and exploration potential and the fact that we have an existing mill at site that has significant upside on throughput. One of the projects, I’m very excited to explore further is the development of an underground ramp from Triangle deposit to the Sigma mill. This underground ramp would pass through Plug 4 and Parallel ore zones. The ramp is expected to reduce transport cost and can serve as an excellent exploration drill platform along its route. Turning to Slide 10. We can see how Lamaque team busy with underground development and refurbishing the Sigma mill. Development during the quarter was focused in the C2 zone, and we’re ahead of schedule with 1,600 meters versus 1,500 meters planned. We’ve also been ramping up the workforce and are on track with our hiring. Over to Olympias on Slide 11. The headline little at Olympias, is we’ve completed installation of the additional tailings filter press, which enables the plant to run at its full throughput. We also completed the construction of the paste backfill plant and expect to commission that by the end of Q2. With completion in these installations, our priority is to optimize the process recoveries and concentrate quality and reduce cash operating costs. The combination of the two filter press is for tailings filtration and the paste plant built in redundancy and increase its flexibility for treatment of tailings material. The upside we see at Olympias is exploration around the high grade east zone of the ore body, which is an area that’s long been of interest but has never been drilled. We’re also exploring a concentrate blending program that could potentially optimize metal payabilities. It’s early days on this but we think it’s something that’s worth exploring. On slide 12, we have some examples of work done during the quarter at Olympias. Starting top left, you can see a shot of the new filter press. Next to that is an aerial shot of the paste plant. In the bottom left, you can see that this filter is in the paste plant being commissioned. The filters have been operating and we haven’t encountered any problems with this part of the circuit. The next step is paste production and distribution underground. The final picture shows the all-important gold concentrate being placed into bags with shipment to the port and their buyout. Over to Kisladag on Slide 13. It should have been used but we’re proceeding with building a mill subject to Board approval. In Q1 we completed the pre-feasibility and began winding down mining in order to complete our new plant for this asset. We’re now working towards feasibility with a final investment decision to be made by the Board in October of this year. We have strong relationships with the permitting authorities and discussions led us to believe that we are on track to receive required permits. The picture here shows the Kisladag site. On the left edge you can just about make out top of the open pit with the existing and crushing circle in the middle and the proposed mill site next to that. As you can see, the area has been previously cleared and graded and it’s ready to go. On the next slide, you’ll see a 3D rendering of what the mill will look like. The brown shapes on the left denote the existing crushing circuit. At the top, you can see you two gold mills feeding Leach tanks followed by CIP. And the structure at the bottom is the tailings filter plant. Moving over to slide 15, the upside we see at Kisladag is below risk nature of this project. With a decade of operating experience in Turkey, we have a solid understanding of the local construction environment, input costs, and labor productivity in the area. We’re also building within the existing site footprint, which improves the environmental design and reduces permitting risk. In addition, we have the opportunity to improve current project economics by purchasing used equipment and potentially optimizing the crushing circuit. Long-term, if metal prices support it, we can expand the pit. The picture here shows the Leach Pad and some of the 150 million tonnes of material that have been placed up there. Regarding a Leach pad, we believe we could realize further production upside with the potential to continue leaching during the mill life. And we’re testing injection bores as a method to increase gold extraction beyond the currently known Leach pad inventory. And with that, I’ll hand it over to Jason.
Jason Cho: Thanks, Paul. So just on the slide 16. With the recently completed technical studies, we’ve now had the opportunity to develop business plan as communicated by George earlier. And evaluate both near-term and the medium to long-term capital considerations. As with $460 million cash on balance sheet plus an undrawn $250 million revolver, we feel we have some time to thoughtfully evaluate and address the financing considerations. In fact, with projected capital spend and expected internally generated cash flow from operations and the cash on balance sheet, there is sufficient funding currently in place for 2018 and 2019 without drawing on the revolver. By completion of the technical studies, stating the audience has been a critical milestone to finally advance financing and evaluation of strategic options. And to be clear, these were just filed four weeks ago. Though with these studies in hand, we have prioritized development of Lamaque and the potential mill at Kisladag. As with two outstanding projects, which we have a very high confidence level of delivering, both are economically robust with significant optionality and for further growth and return on invested capital. Arguably, these are two quality projects, which we would struggle to find elsewhere in the industry. And just a note on Greece, as George has mentioned, we do not intend to spend any further material capital at Skouries, until we have all required permits and have established a collaborative relationship with the Greek Government, which is ultimately supportive of our investments. And as mentioned earlier, as current cash on balance sheet combined with internally cash flow – generated from operations fully supports the development of Lamaque, and provides ample runway to substantially advance construction at Kisladag, again, without drawing on the revolver. And consistent with capital prudence, we are actively eliminating nonessential spending with the aim of reducing global G&A. And at the same time, we have an ongoing company-wide initiative to improve operating cash flow. So we acknowledge the need for, and are focused on potential funding and of course, the December 2020 bond maturity but believes the finance in place, quality of the assets and market conditions will allow us to be opportunistic. May be just a couple of comments on this. We are actively evaluating several strategic options ahead of major capital spending at Kisladag and are engaged in discussions with various third parties. Further, we are also focused on potentially refinancing the notes. And are in discussions with banks regarding options. But again, we’ll be opportunistic and measured, given we have some time until the notes mature at December 2020. And lastly, we look forward to updating the market on our progress as appropriate and executing on long-term plans for value creation. And with that, I’ll turn it back to George to wrap up.
George Burns: Thanks, Jason. On slide 17, we have outlined some of the milestones for our business. Last year, we committed to completing the three technical studies by Q1 of this year and we delivered. At Olympias we successfully installed the second tailings filter. So all in all, a very successful first quarter. To begin the second quarter, we had the positive arbitration decision and we’re on track to advancing permitting approvals for the Kisladag mill with Turkish regulators and deliver a mill feasibility study in the third quarter. We intend to maintain this momentum over the course of the year. And we are now solidly in the delivery phase of our new business plan. By building out Lamaque in the Kisladag mill, maintaining a strong base of operations and deploying capital prudently. I am confident, we will reach annual production of 600,000 ounces by 2021. We remain focused on driving our industry leading growth projects forward under a disciplined capital allocation process in order to grow our business and create long-term stakeholder value. Before I open it up to questions, I want to thank Fabby for her many years of dedication to Eldorado. We wish her all the best for the future. Thank you. We will now open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Kerry Smith with Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Good morning. George just may be the first question, can you give us an update on what’s going on in Greece post the arbitration decision other than what you said in the press release? I mean are you actively meeting with the government? Or what’s exactly going on there?
George Burns: Thanks, Kerry. Yes, since the arbitration decision come out, we’ve had open discussions with the government. I’m really not going to get any specifics here, but just to say that we’re focused on getting the routine permits approved and collaboratively working forward on the path forward to incorporate price stack tailings into the Skouries design and we’ll be updating the market, as we progress with those discussions.
Kerry Smith: Okay. And for just today when did you actually stop putting ore on the pad? Was that as of March 31? Or was there some residual ore that went to the pad in Q2? I’m just trying to think about the production per quarter over the next three quarters now that you’re not putting ore over there. Just would it be roughly, 1/3, 1/3, 1/3 or is there going to be a bit more in Q2, let’s say, because you did put some ore out there in Q2.
Paul Skayman: Okay, Kerry, Paul here. We placed a little bit of material on the pad in Q2, we effectively ran for a couple of weeks, so the half of April. And I would suggest a decline in ounces over the next three quarters. We kind of at full run rate at the moment and that will decline as the year wears on without threshold being added.
Kerry Smith: Okay. And so would it be reasonable to maybe think about 15% of the annual production comes out in Q4 and then you’ll just kind of scale it up as you go through the other quarters?
Paul Skayman: I don’t understand, Kerry, 50% in Q4?
Kerry Smith: No, 15%, 15%, sorry, Paul.
Paul Skayman: 15%, okay. Yes, you’re probably not far off, it’s reasonable.
Kerry Smith: Okay, and Paul maybe one question on Olympias. Are the unit costs at this site now kind of on budget with where you projected them to be? Or the costs still a bit higher than where you would like them to be? I know that you’re not fully ramped up, but I’m just wondering how they’re running relative to what your plan was?
Paul Skayman: Q1 is a little higher than we – than the annual guidance. Guidance is $550, $650 as the range. We ended up to shy at $700 in Q1, but we didn’t really get the filter plant operating until the last month of that. So we somewhat and still maintaining that guidance for the year.
Kerry Smith: Okay, and then those same comments would hold for the unit cost on a per tonne basis then? I was more interested in the per tonne numbers.
Paul Skayman: Yes. That’s reasonable as well. Yes.
Kerry Smith: Okay, and maybe just a one last question, George. you talk about this one for five consolidation to keep the New York listing. I think that’s a terrible idea. To be honest there’s other – I think there is other exchanges in the U.S. that would lie to maintain on listing without the consolidation and if you do that consolidation, your stock is going to be 20% lower post the consolidation. I think that’s a terrible idea, I’m not sure why you wanted to do it? But I would just let the New York listing elapse.
George Burns: Kerry, from our perspective, the trading of our stock is dominantly on the New York Stock Exchange. When you look at how shares are traded between the two exchanges. And from our perspective, making that share consolidation is a technical solution to the exchange. And it’s the exchange where we’re already on. So from our perspective, it’s prudent to move forward. And our intention is to move forward and have our shareholders vote on that proposal with the upcoming AGM.
Kerry Smith: Okay. I think just be prepared for it to be trading at $0.80 on a pre-consolidation basis, not a buck US, that’d be my only concern. Anyhow. Thanks very much.
George Burns: Thanks, Kerry.
Operator: [Operator Instructions] And there are no further questions at this time. George Burns, I’ll turn the call back over to you.
George Burns: All right, thank you, operator. Well from the Eldorado team, we’re really pleased with the first quarter and focused on filling out our near-term growth and look forward to touching base and updating you on our progress next quarter. Thank you.
Operator: Thank you to everyone for attending today. This concludes today’s conference call, and you may now disconnect.